Operator: Good morning, ladies and gentlemen, and welcome to the Siyata Mobile Third Quarter 2024 Conference Call. All lines are in a listen-only mode and this call is being recorded on Friday, November 15, 2024. I would now like to turn the conference over to Glenn Kennedy, Vice President of International Sales. Sir, please go ahead.
Glenn Kennedy: Thank you for joining the Siyata Mobile third quarter 2024 conference call. Today, I'm joined by our CEO, Marc Seelenfreund. During this call, management will make expressed and implied forward-looking statements within the Private Securities Litigation Reform Act of 1995 and other U.S. federal securities laws. These forward-looking statements include, but are not limited to, those statements regarding future product offerings, the belief that we are on the path for strong organic growth, the goal to deliver strong year-over-year revenue growth and reach profitability in the coming quarters; the belief that we will continue to see strong sales in all of our product lines and across our various markets; and the timing and sale of our rugged handsets to North American and international carriers. Such forward-looking statements are based on the company's current expectations and assumptions regarding its business, the economy and other future conditions. Because forward-looking statements relate to the future, they are not statements of historical fact and are subject to inherent uncertainties, risks and changes in circumstances that are difficult to predict. The company's actual results may differ materially from those contemplated by the forward-looking statements. We caution you, therefore, against relying on any of these forward-looking statements. The company cannot guarantee future results, levels of activity, performance or achievements. The forward-looking statements contained in this presentation are subject to other risks and uncertainties, including those discussed in the Risk Factors section and elsewhere in the company's annual report on Form 20-F for the year ended December 31, 2023, filed with the Securities and Exchange Commission. Now, I'd like to turn the call over to Marc.
Marc Seelenfreund: Thank you, Glenn. Good morning and thank you for joining the call. We're pleased to announce that in the third quarter of 2024 ended September 30, revenue was $5.9 million, which is a 218% or $4 million increase, compared to $1.8 million in Q3 2023, and a 210% or $4 million increase, compared to $1.9 million in Q2 2024. Revenue from the U.S. market was $4.8 million or 81% of total revenue, compared to $1.3 million or 69% of total revenue for Q3 2023. This was the strongest revenue quarter ever in the history of our company. This increase was primarily due to the increased demand for our SD7 handset and accessories and having the inventory to fulfill this demand. We are also extremely excited with our sales outlook going forward as we are now seeing tangible rapid adoption of our unique PTT product portfolio across our various sales channels. We believe that we have a very exciting 5G product portfolio planned to launch in 2025, which will position us as the leading PTT handset provider on a global level. We announced recently that T-Mobile is the first wireless carrier that will be launching part of this portfolio and will be releasing details of the innovative devices over the coming months. We are optimistic that more wireless carriers will follow suit. For the remaining Q3 2024 financial metrics, gross margin percentage for Q3 2024 was 29% versus 26.6% in Q3 2023. Gross margin dollars increased from $500,000 to $1.7 million, a $1.2 million positive variance. SG&A expenses are $4.7 million in Q3 2024, versus $2.7 million in Q3 2023, an increase of $2 million. This increase in SG&A was primarily due to marketing expenses related to investor awareness. Adjusted EBITDA for Q3 2024 was negative $3.3 million, compared to negative $1.6 million in Q3 2023, a $1.8 million negative variance in EBITDA, mostly related to the increased marketing expenses related to investor awareness. Working capital as of September 30, 2024 was $200,000 versus $1.3 million as of December 31, 2023, a $1.1 million decrease in working capital. Removing both the non-cash warrants and preferred share liabilities classified as current liabilities, the working capital at September 30, 2024 would have been $1.3 million, and at December 31, 2023, would have been $1.4 million. For the nine months ended September 30 2024, total revenue was $10.1 million, compared to $6.3 million in the same period of 2023, which is a positive variance of $3.8 million. Gross margin dollars were $2.8 million in 2024, compared to $1.8 million in the same period of 2023, which is a positive variance of $1 million. Finally, the gross margin percentage was 27.3% in 2024, compared to 28.2% in the same period of 2023, a decrease of 0.9%. We continue to see the rapid adoption of our disruptive solutions and as the displacement of land mobile radio by push to talk over cellular continues to progress, this should drive meaningful growth for our innovative products. We stand by our previously stated goal of strong revenue growth with a goal of profitability in the coming quarters. We will file our third quarter 2024 financial results for the SEC on a Form 6-K and urge our listeners to access them from the SEC's website, search for Siyata Mobile. That concludes our remarks. If you have any questions, please email them to SYTA@Haydenir.com. Thank you.
Operator: Thank you, ladies and gentlemen. This does conclude today's call and you may disconnect your lines at this time. And we thank you for your participation.
Q -: